Operator: Good morning, and welcome to Casper Sleep's First Quarter 2021 Conference Call. Today's call is being recorded. I would like to turn the conference over to Norberto Aja, Investor Relations for Casper. Mr. Aja, you may begin.
Norberto Aja: Thank you, operator, and good morning, everyone. Thank you for joining the Casper Sleep 2021 first quarter conference call. We'll get started in just a minute with management's comments and your questions. But before doing so, let me take a minute to read the safe harbor language. This call is taking place on May 30, 2021 will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements made on this call that do not relate to matters of historical fact should be considered forward-looking statements, including statements regarding management's plans, strategies, goals and objectives, our anticipated financial performance and the expected impact of COVID-19 on our business. These statements are neither promises nor guarantees but involve known and unknown risks, uncertainties and other important factors that may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Factors discussed in our annual report on Form 10-K for the year ended December 31, 2020, and other filings with the Securities and Exchange Commission could cause actual results to differ materially from those indicated by the forward-looking statements made on this call today. Any such forward-looking statements represent management's estimates as of the date of this call. While we may elect to update such forward-looking statements at some point in the future, we disclaim any obligation to do so even if subsequent events cause our views to change. In addition, we may also reference certain non-GAAP metrics, which are reconciled to the nearest GAAP metric in the company's earnings release which can be found on our Investor Relations website at ir.casper.com. With me on the call today is Philip Krim, Co-Founder and Chief Executive Officer of Casper; Emilie Arel, President and Chief Commercial Officer; and Mike Monahan, our Chief Financial Officer. Following their prepared remarks, we will open the call for your questions. With that, I would now like to turn the call over to Philip Krim, Casper's Chief Executive Officer. Philip, please go ahead.
Philip Krim: Thank you, Norberto, and good morning, everyone. Welcome to Casper's first quarter conference call. Casper's first quarter financial performance exceeded our expectations, marking an exceptionally strong start to the year. The team has been executing well and the results reflect that. Our first quarter results demonstrate our ability to drive strong top line growth, deliver robust margins, bring additional innovative products to market, drive additional leverage in our marketing spend, grow our retail partnership business and improve foot traffic across Casper stores. Together, this paves a clear path to accelerating revenue in the coming quarters as well as achieving adjusted EBITDA profitability in the second half of 2021. Our plan is working well, and we continue to prove our ability to execute on that plan successfully. During the first quarter, we saw industry-wide shortages in raw materials needed to produce mattresses. Despite this, our inventory management strategies and third-party manufacturing model enabled us to effectively navigate these supply chain challenges. We reallocated production and worked with our partners to remain largely in stock. As these shortages subside, we expect to capture more of the increased demand we are seeing in the market. North America revenue increased 20% year-over-year to a first quarter record, including 54% growth in retail partnership revenue. Our gross margin of 52.2% expanded 540 basis points year over year, resulting in an improved bottom line performance that surpassed the high-end of our guidance range for the quarter. Our first quarter results reflect strong momentum across product categories and sales channels. Our growth continues to meaningfully outperform the broader mattress industry, and we continue to gain real market share. With the strong demand signals we are seeing across our business, we expect top line growth to accelerate in the coming quarters reinforcing our expectation that Casper will reach adjusted EBITDA profitability in the second half of 2021. As a result, we are raising our full year 2021 financial outlook to reflect these favorable trends. Mike will take you through those numbers in a moment. Before that, though, I would like to briefly touch on the progress we are making across our three core strategic priorities, which we previously outlined as: one, expanding our product offerings; two, increasing our brand awareness; and three, growing our points of distribution. With the Sleep Economy's total addressable market estimated to be nearly $80 billion in the U.S. alone, we see tremendous runway across each of these strategies, which is why I continue to believe that Casper is still in the early days of building a very large company and brand. Starting with our product offerings; innovation, quality and design, and customer service continue to be consistent hallmarks and true differentiators of our products and services. All of our products are developed by our Casper Labs team of researchers, designers, and engineers. In addition to our lineup of award-winning mattresses, we continue to broaden our product offerings across the Sleep Arc and diversify our revenue streams with the successful introduction of products such as pillows, sheets, weighted blankets, and other accessories. In late April, we unveiled the Casper Cooling Collection, a new premium line of innovative cooling mattresses and sleep products with the brand’s most technologically advanced temperature solutions for nighttime overheating, one of the leading concerns among consumers shopping for a mattress. The Cooling Collection features our proprietary Snow Technology, the result of 18 months of rigorous research, testing, and strategic design that we are confident will help people achieve a more comfortable and restful sleep. We initially launched the new line of exclusively through our DTC channel, and while early the results are encouraging. For example, in just the first week of our launch, nearly one-third of all of our Wave Mattress customers upgraded to the Snow Technology, and our line of Hyperlite Sheets was the number one seller for us in that category. To further leverage our success, we plan to begin offering our Nova Snow and Wave Snow mattresses through our retail partnership channel later this quarter. As we've talked about in the past, expanding our mattress offerings to include an assortment of premium products at premium price points is a strategic step in driving higher average order values across our sales channels and further elevating the visibility and appeal of Casper's brand, particularly in our trial doors. The initial response to the launch has been overwhelmingly positive, and we look forward to updating you on the success of our new cooling product line in the coming quarters. Moving on to brand awareness. In conjunction with the Cooling Collection launch, we introduced our new Love Your Tomorrow brand platform. The new campaign utilizes humor and unique product storytelling to drive awareness of our brand and our new suite of cooling mattresses and sleep accessories. We developed an integrated marketing strategy around the campaign with focused placements across multiple media channels to maximize consumer reach and engagement. The launch of the Love Your Tomorrow platform was even featured prominently on The Today's Show, a claim few brands can make and another example of how Casper is becoming a truly leading consumer brand, even outside of the Sleep Economy. Finally, we have made significant progress in growing our multi-channel distribution network through the new retail partnerships. We are very focused on expanding our trial presence. Bringing more trial opportunities to consumers is a key factor in our ability to capture more market share and to drive customer conversion within the mattress segment, in particular for high-end premium priced products. In 2021, you'll see us continue to focus on bringing more partners online with an emphasis on trial opportunities where consumers can experience and compare our products. Emilie will provide you some additional color in a moment, but we expect to have more exciting announcements on this front in the coming months. Looking ahead, we expect 2021 to be a pivotal year in Casper’s growth story. While much of the world has changed in the past year, so much of what makes Casper exceptional has remained the same. We leverage cutting edge technology, data, and consumer insights to develop best-in-class products and experiences that improve the way people sleep. To deliver on that, we have assembled a world-class team at Casper, including an extremely talented and experienced group of senior executives who are working together with the shared goal of developing best-in-class sleep solutions for our customers, while creating value for our shareholders. In closing, Casper recently celebrated its seventh anniversary, and I could not be more pleased with and proud of what we have achieved to-date. And I am excited about our future and the many growth opportunities in front of us. We're in the early stages of capturing market share, and we are working harder than ever to reinforce and grow our leadership position in the sleep category by capitalizing on our R&D capabilities and strong brand recognition, broadening product lines and growing our distribution footprint. As we build on our recent progress to best position Casper for the future, we are confident in our ability to achieve our growth and profitability goals while creating significant shareholder value. I will now turn the call over to Emilie. Emilie?
Emilie Arel: Thank you, Philip, and thank you everyone for joining us today. The events of the past year have accelerated trends that we were already seeing and have clearly changed the way consumers want to shop. More than ever, they want the flexibility and convenience to be able to shop anytime and anywhere. As such, we remain focused on our multi-channel distribution network, creating consistent touch points across our e-commerce experience, our retail partner footprint and in our Casper stores, as this approach continues to resonate strongly with consumers. During 2020, we made significant progress in expanding our distribution through new retail partnerships, including Sam's Club, Denver Mattress, Mathis Brothers, and Nordstrom. We entered Q1 with more than 20 retail partnerships and are hard at work to further expand our reach and position us for accelerated profitable growth on the back of the 54% North America revenue increase in this segment in Q1. Late last year, we launched our in-house field team to better support our retail partners and help drive increased customer conversion. Our field team’s tailor approach ensures that our brand equity holds once a customer walks into one of our retail partner location and empower sales associates to have informed conversations with customers about Casper’s products and technology. This strategy has been a real unlock for us at our partnered trial doors. Regarding Direct-to-Consumer, this segment was driven by strong results across our e-commerce platform, both in terms of traffic as well as AOV. We saw robust organic traffic to our website, reflecting efficiency and strong brand proposition. In Q1, we tested new promotions, structures and ways to provide enhanced value to the consumer, which had favorable results. Casper retail stores continue to navigate the changing COVID-19 regulation landscape and are gaining traction as the economy further normalizes. As we enter the second half of 2021, we are excited to welcome more and more consumers back to our Casper stores and share with them our great products and the important fleet plays in their wellbeing. Trial opportunities or trial doors are not only a key conversion driver, but they also represent the best opportunity for us to both upsell and cross-sell. Trial is particularly important with regard to new and our higher priced items. In addition, time and time again we see higher AOVs at both our Casper retail stores and our retail partnership trial doors. Customers can see the entire sleep experience between the mattress, sheets, pillows, blankets and room ambiance come together. They can experience the technology, see the design, feel the curated materials and immerse themselves in the world we created. Touching on new products and product expansions, we recently unveiled the Casper Cooling Collection. The collection includes new mattresses with the Snow Technology in the Wave and Nova product lines, a new line of hyperlite sheets made with TENCEL fiber woven in a unique grid to create vent like structures that increase air flow consistently throughout the night, providing maximum breathability as well as new lightweight Duvet and Breathable Mattress Protector, that provide temperature and humidity control without sacrificing comfort and improve the aeration and coolness of the bed by allowing air to flow between your body and the mattress. Some of the more interesting facts about the technology include, Snow Technology has undergone over 150 tests at Casper labs and utilized as a proprietary technology designed to help consumers achieve a cooler, more comfortable and restful sleep. Our Casper labs team has substantiated through rigorous testing that when compared with the Wave Hybrid, Snow Technology combined with air escape foam, the top layer perforated breathable foam that increases air flow and reduces heat, provides an overall six degree cooler sleep through the inclusion of HeatDelete band, which works to remove 34% more heat away from underneath the body for over 12 hours of sleep. And our QuickCool cover, which delivers a 24% cooler to the touch feeling upon climbing in bed. As Philip mentioned, early feedback has been overwhelmingly positive. And within the first couple of weeks of launch, we're seeing immediate adoption within the Wave and Nova families at a $500 premium. Customers continue to be excited about the entire Cooling Collection from the mattresses to the hyperlite sheets and the benefits of this innovative technology. This is yet another example of how Casper truly brings together leading research, cutting edge technology, thoughtful design and curated materials that together make for the most innovative products in the industry and there's more to come. Taking a look at our consumer outreach initiatives, we continue to leverage the power of the Casper brand and look for strategic and fresh ways to evolve our dialogue with consumers across various mediums and touch points. Our recently launched brand platform Love Your Tomorrow is a great example of that. The campaign elevates the visibility and appreciation for our mission of helping people achieve their best night’s sleep for a better tomorrow and does so in a very powerful yet humorous and relatable way. The narrative for Love Your Tomorrow comes to life through our creative broadcast campaign, featuring Emmy Award Nominated Actress, Vanessa Bayer and Award Winning Director, Wayne McClammy, that reframes the notion of how we get a better night's sleep through the eyes of an eccentric personified character of tomorrow who visits various cranky, exhausted and hopelessly sleep deprived characters to help them achieve a perfect night's sleep with products from the Cooling Collection. The initial reaction to the campaign has exceeded our expectations with over 54 articles across various media platforms and reaching millions of potential new Casper customers. We are very pleased with the momentum we are seeing from our brand efforts and are laser-focused on continuing to build the Casper brand by taking a dynamic and strategic approach to our sales and marketing spend and ensuring that we are creating added-brand equity, deepening consumer connection, and building brand momentum to improve how consumers can access the brand across platforms. All of which helps us make our sleep products accessible to a larger market. Looking ahead, I share Phillips and our entire team's enthusiasm, excitement for Casper’s future. An increasing number of consumers value, wellness, and see sleep and rest as a key pillar, along with nutrition and exercise, a trend which we feel is here to stay. We have long-term strategy to build an enduring brand. The foundations are our amazing products and engaging multi-channel presence, a healthy industry and most important of all, we have a group of world-class people who believe in our mission to improve people's everyday wellbeing. As such, we are confident that we have a significant opportunity to leverage this demand by designing sleep and wellness products that consumers will enthusiastically embrace. With that, I would like to turn the call over to Mike. Mike?
Mike Monahan: Thanks, Emilie. We are pleased with the progress we are making on our growth and profitability goals and the direction in which we are headed. We reported first quarter revenue of 127.7 million or 13% increase compared to Q1 2020. It's important to remember that we did not have any revenue outside of North America in Q1 2021, while we had approximately 6.7 million in revenue from our now discontinued European operations in the first quarter of the comparable prior year period. Q1 2021 North American revenue grew by 20% versus Q1 2020. Our North America direct to consumer channel revenue was 93.2 million or an 11.1% increase versus the prior year period, while retail partnership revenue for Q1 2021 was 34.4 million, a 53.7% increase as compared to Q1 2020, this led to gross profit of 66.7 million, a 25.9% improvement compared the prior year period and resulted in gross margins for the quarter of 52.2%, a 540 basis point improvement. The expansion in gross margin was primarily driven by efficiencies in our logistics network and improvements in our product costs. While top line growth remains a key priority, we will continue to be focused on preserving our margins of 50% plus and managing our cost of goods as strategically as possible. Moving down the income statement, overall general and administrative expenses including store operating costs but excluding the depreciation declined by 7.2% to 40.7 million or 31.9% of revenue versus 43.8 million or 38.8% of revenue in Q1 2020. This was primarily driven by declines in corporate G&A, payroll and one-time items. Sales and marketing expenses increased 8.2%. However, we continue to achieve leverage in our sales and marketing spend. As a percentage of revenue sales and marketing expenses declined 31.7% compared to 33.1% in Q1 2020, reflecting improved efficiency from our expanded distribution and multi-channel strategy. Depreciation and amortization of 3.8 million for the first quarter of 2021 decreased from 4.1 million in the first quarter of 2020, while interest expense increased to 2.5 million from 2.2 million. This led to a first quarter operating loss of 18.8 million a significant improvement from an operating loss of 32.8 million in Q1 2020. Earnings per share was a net loss of $0.52 in the first quarter. Our adjusted EBITDA loss narrowed to 10.6 million in the first quarter of 2021, representing a 53.5% year-over-year improvement versus the first quarter of 2020. Moving to the balance sheet and our liquidity position, as of March 31, we had cash and cash equivalents of 61.6 million compared to 88.9 million as of December 31, 2020. We feel comfortable with our liquidity position and the health of our balance sheet. As we mentioned on our prior call, the first quarter has been the seasonally soft this quarter for us historically, and we expected that to be the case in 2021. As a result, we continue to expect accelerated top line growth. As we move through the remainder of 2021. Regarding our outlook for the second quarter of 2021, we expect to deliver 146 million to 153 million of revenue. At the midpoint, this revenue range represents 36% growth and 42% North American growth in the second quarter of 2021. This would lead to a net loss of approximately 18 million to 15 million and Q2 adjusted EBITDA loss of approximately 7 million to 4 million. For the full year 2021, we continue to expect revenue growth to accelerate over 2020. We are increasing our outlook for full year 2021 revenue to be within the range of 580 million to 610 million reflecting challenge for traffic trends in our retail stores, offset by continued growth in our e-Commerce channel, along with strong growth in retail partnerships. At the midpoint, this revenue range represents 20% overall growth and 23% North American growth for 2021. We also expect capital expenditures to be below 10 million in 2021 as we plan to open fewer than 10 Casper stores this year. As previously communicated, we expect to reach adjusted EBITDA profitability in the second half of 2021. Looking ahead, we are pleased with our results and the overall trends we're seeing across the business, including adjusted EBITDA. We also understand there's work ahead of us in areas where we can improve. As a result, we continually look for ways to make Casper a more effective and efficient company. In closing, we're doing what we said we would do and successfully making progress towards our goals of gaining market share, expanding our retail footprint in trial doors, improving our operations and more strategically leveraging our resources. We will continue to focus on what we believe is in the best interest of our shareholders, our customers, and our brand. I would now like to turn the call back to Philip.
Philip Krim: Thanks, Mike. We are excited and optimistic about the future of our business. As we build on our recent accomplishments, I'm encouraged by the work our teams are doing to emerge from the challenges of 2020, even stronger than how we came into it. We’re diligently working on elevating our brand, bringing amazing products to market, further refining how we engage with consumers, investing in key strategic areas and surrounding ourselves with the best people and partners possible. Casper has made great progress in our short life as a public company, a period largely marked by one of the most unprecedented periods in human history. As the world further normalizes, we see significant and growing opportunities to gain market share, achieve profitable growth, and create significant shareholder value. I will now turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Peter Keith with Piper Sandler.
Bobby Friedner: Hey, good morning. It's Bobby Friedner on for Peter. Thanks for taking my questions. Nice results. First of all, I want to ask about wholesale growth in Q1, accelerated nicely from Q4. Can you speak to the drivers here? Is it a function of rolling out some more doors or are you seeing material improvement on a per door basis?
Philip Krim: Hey, Bobby, thanks for the question. It's honestly a little bit of everything. We saw really strong demand from our existing retail partners. In particular, we saw great business in March across the entire distribution set of channels. We also have been standing out new partners and expanding our door presence and focus on those trial opportunities. We also talked about on the last call that we launched a team of folks that are in the field helping our retail partners and optimize their business. That continues to work really well and pay dividends for us. So, it was pretty broad based strength that drove the overall growth in the retail partnership channel.
Bobby Friedner: Okay. Thanks for that. And diving to the actual Casper stores, how would you describe that state of play right now? Given now over a year into COVID impacts, you've seen sequential week-on-week improvements. Has traffic plateaued? Any strategies you're reevaluating? I'd love any insight there.
Philip Krim: Yes, we are seeing a sequential kind of week-to-week improvement. So, maybe I'll turn it over to Emilie to talk a little bit about what we're seeing and doing within our Casper-owne retail stores.
Emilie Arel: Yes. Hi, good morning. We continue to see variations in performance regionally across our store base and really continuing to see traffic pickup as consumer confidence picks up with the vaccine rollout and COVID restrictions lifting across North America. So our teams stay very focused on communicating the benefits that our products bring to your – to sleep and really focus on spending the time with the consumer to make them feel safe in the store and communicate all those benefits. So we continue to stay focused on our core strategies and welcome consumers into the store as the regulations lift.
Bobby Friedner: Okay. Thanks, Emilie.
Operator: And your next question comes from the line of Seth Basham with Wedbush Securities.
Seth Basham: Thanks a lot. Good morning and nice results and outlook. My question is around gross margin. Just thinking about the strength that you guys posted this quarter despite the fact that lower margin wholesale channel grew much faster than DTC channel, how should we think about gross margins going forward? I know you guided to 50% plus. But I think even as you annualize the new shipping contract and your wholesale channel, retail partner channel continues to outpace DTC, you guys should be seeing strong benefits from product mix with the launch of the new cooling line and we should be able to see gross margins well over 50%. Can you give some more color there, please?
Philip Krim: Yes. Good morning, Seth. Thank you. I'm glad you highlighted gross margins. I'll talk about kind of just what we saw currently, and then maybe turn it over to Mike to talk about how we're thinking about gross margins going forward. But to me, showing the strength in gross margin is a really big sign and win for us because it shows that the brand continues to have real value in the marketplace and that we've been able to consistently expand our gross margin, which also is why we were able to grow our gross profit dollars by almost 25%. So, we were really pleased with achieving the gross margin that we did post here, and I'll turn it over to Mike who could talk about kind of what we're seeing on the puts and takes for gross margins going forward.
Mike Monahan: Sure. Thanks, Philip. The two largest drivers are the channel and product mix, as you mentioned, to gross margins. So, over the long-term, we talked about in the script that we expect to keep our blended overall margins above 50%. The DTC channel has margins in the mid-50% range, while retail partnership margins tend to be a little bit lower. But the retail partnerships drive a pretty meaningful adjusted EBITDA because they require less marketing and G&A spend. And so both of those, we're seeing improvements kind of throughout the underlying product costs as well. As I think about products in general, right now mattresses drive our highest product – our highest margins. But our goal is to get our non-mattress margins up to where they're on par with the overall mattress margins, so that as we grow those – our overall product mix and expand it, that will be accretive to margin as well.
Seth Basham: That’s helpful color. Just a follow-up on the product mix benefits going forward with the new cooling line. If you could repeat the comment you made in the script around how the line is performing, I think you said that one-third of mattress customers upgraded on your DTC channel in recent weeks since launch, and where do you expect penetration of that line to be in mattresses for the balance of the year?
Philip Krim: Yes. So we launched the Cooling Collection in April. So it's a recent data, but we were pleased and exceeded kind of the adoption that we saw out of the gate. We expected the ramp into the Snow line to take longer. And what we saw is immediately out of the gate, something like third of the Wave customers immediately upgraded to include the Snow technology, and so they were buying the Wave Hybrid Snow model. And so that adoption happened faster than we expected. When we launched Hybrids, the adoption took a little bit longer for people to kind of understand what we were doing. So, we were really pleased that they were doing that. And then, in case you didn't see, the upgrade to the Snow technology is a $500 kind of incremental consumer cost, and so that's driving higher AOV. It's good for margins. And so the new lineup, we think will be a strong driver of performance going forward.
Seth Basham: Got it. Thank you very much.
Philip Krim: Thanks, Seth.
Operator: And your next question comes from the line of Atul Maheswari with UBS.
Atul Maheswari: Good morning. Thanks a lot for taking my question. So your implied guidance for the back half would imply a deceleration to around 15% revenue growth, at least at the midpoint. So why would revenues decelerate in the back half given you have easy comparison in the third quarter and you've launched the new Cooling Collection? Are you simply being conservative here? Or is there something else going on that's maybe causing you to take a more conservative stance on the back half?
Philip Krim: Sure. Mike, do you want to talk about the guidance?
Mike Monahan: Sure. So last year, Atul, we had a strong Q4 for 2020. Q4 2021 subject to the timing of shipments in our retail partnership channel. And so as we get more insight around supply chain capacity, we can update the market on what our expectations are for Q4. But right now, we just don't have clear visibility between the time line at the end of the year between Q4 and Q1, so we factored that into our guidance.
Atul Maheswari: Understood. That’s helpful. Thank you. And then a near-term question. So you provided your first quarter guidance sometime late in February, and now your actual numbers are above your guidance. So assuming you had a stronger than expected March, what would you attribute that? Would you attribute that to stimulus or was there something else?
Philip Krim: Certainly, I think stimulus was part of it. March was a good month, both in our DTC channel as well as our retail partnership channel. I would also comment that our store business has improved kind of week-over-week. Just as Emilie mentioned, consumers are gaining confidence. And we've seen that happen differently throughout the country, but the South, with states like Texas and Florida, we've seen improvement in our Casper-owned stores as well throughout the quarter in Q1 and continuing into Q2. So I think there were several drivers that kind of accelerated the business in Q1. But no doubt, stimulus was a factor as well.
Atul Maheswari: Thank you. And is there a way to quantify the stimulus benefit? Have you – were you able to do an analysis around it?
Philip Krim: We looked at it from several different angles, but nothing that would give us confidence in how to quantify it, other than we just saw demand increase kind of immediately as checks hit bank accounts. We saw traffic increase across our web property. We saw traffic increase on foot traffic in stores. And so it was just broad-based demand that happened. And we see the increase when checks started to hit, but it’s kind of hard to quantify. Business was good in Q1, generally speaking. Demand has been strong from Q4 into this year and continues to be strong. So we don't think it's only attributed to stimulus by any means, but there definitely was a step-up when checks started to hit.
Atul Maheswari: Got it. Helpful color. And good luck with the rest of the year. Thank you.
Philip Krim: Thank you, Atul.
Operator: And your next question comes from the line of Bob Drbul with Guggenheim.
Bob Drbul: Good morning, guys. Just a couple of questions for me. I think the first one is, when you look at your customer base, are you seeing repeat customers? Any update to those numbers, I think, would be very helpful. And I think the second question is, can you just talk a little bit more on the supply chain and pressure points that you have had? Sort of what you think is getting better or what you're still really concerned about as you think about what's happening in the manufacturing process today? Thanks.
Philip Krim: Sure. Thanks, Bob. So on repeat customers, that's been a very strong part of the business. Obviously, we don't break out specifics around repeat versus new customers. But the repeat business from customers who transacted with Casper previously has been notably strong and kind of a standout. And I think a key part of that is continuing to launch new products. So when we launched the Hyperlite Sheets, which we featured, they immediately became our best-selling sheet within our bedding program. And a lot of that is driven by customers looking to Casper for the latest and greatest quality products to help elevate their sleep. And so we continue to be very focused on how to drive ongoing optimization with previous customers, but that has been definitely an area of strength so far this year. And then on the supply chain question, it continues to be a challenged supply chain backdrop. Chemical shortages continue to impact different foam manufacturers. But I do think we've largely sidestepped those issues because of our third-party manufacturing model. So as we've talked about previously, we've been building capacity within our supply chain really since Q3 of last year. We continue to build capacity within our supply chain. And that's what I think is allowing us to sidestep most of the industry issues. And I think long-term, that will be a critical benefit to us because the industry continues to build capacity throughout the manufacturing base, and that capacity will give us pricing power once chemicals start to flow. And we do believe that the picture is getting better, not worse. And so we think chemicals are flowing now and that the problem will be behind us later this year. But for now, we continue to work with all of our suppliers very closely and make sure that we're getting the goods that we're expecting and are largely able to fulfill the demand that we're seeing across all channels of business.
Bob Drbul: Thanks, Philip.
Philip Krim: Thanks, Bob.
Operator: And your next question comes from the line of Matt Koranda with ROTH Capital.
Matt Koranda: Hey, guys. Thanks. Just for the 2Q revenue guidance, obviously, it implies an overall acceleration in the revenue. But just wondered if you could speak across the channels and talk about what you're seeing in terms of growth, and maybe split out the revenue guide by channel between DTC and wholesale.
Philip Krim: I’ll talk about it broadly. And then, Mike, if you want to add any color on the guidance specifically. But just the start of Q2 has gone well. We see good demand. The product launch, as we said, has gone better than expected from an adoption standpoint of the new products, which drive good expansion of AOVs. On Casper retail stores, we do see kind of week-over-week improvements on foot traffic and sales. And we're seeing that now across the country as opposed to where we saw it in Q1 be more regionally focused. And our retail partners are continuing to see strong business. So I think the backdrop is just that consumer demand is strong. It's a good time to be in the mattress business. We continue to be a brand that is sought after. And we're seeing strength across all channels, through e-com, Casper-owned stores and our retail partnership. I know on guidance, we didn't break out specifically between the channels. But Mike, any color you'd want to add on kind of Q2 guidance and what we're seeing?
Mike Monahan: I would just say it's balanced between DTC and wholesale, a couple of drivers. Wholesale continues to be a growth area for us. So similar to what we saw in Q1, our partners were seeing good sell-through, through our existing partners, and we anticipate that will continue through Q2. In the second quarter, in terms of a comp, if you look at the retail stores we are seeing foot traffic come back, it's not back to the levels that we saw kind of pre-pandemic, but when you look year-over-year retail is growing – retail stores, Casper-owned stores are growing nicely and we're also seeing solid performance on the e-com side as well. So in general, I would say no specific outlier and pretty reasonably balanced across both of our key channels.
Matt Koranda: Okay. That's helpful. And then when I look at the EBITDA guide, I guess it implies either gross margins sequentially have to get a little bit worse or we need to step up OpEx, could you just speak a little bit to the mix there, Mike, in terms of how we should be modeling this for the next quarter?
Mike Monahan:  I would view – I would think about gross margin to be, comparable maybe a little bit less or a little bit more than kind of Q1 as you think of quarter-over-quarter, but in the same kind of general range. On the G&A side, we did have lower G&A in Q1, part of it is due to the retail stores as we're kind of managing costs there, but as we start to open up for bringing staff back and there's some more expenses that go through that line and we did have some one-time smaller, but one-time items in G&A in the first quarter that we didn't guide to in the second quarter.
Matt Koranda: Okay. That's fair. And then just last one. On the new Snow line, I'm curious it's available obviously in the DTC channel right now and benefiting AOV. It sounds like why not introduce that to the wholesale channel? What's the timing like in terms of rollout there just given that it seems to have improved there at least quite a bit in the DTC channel I would assume it would do the same with your retail partners?
Philip Krim: I would you assume that. But Emilie, do you want to talk about that one?
Emilie Arel: We are really excited for Snow to hit some of our retail partners and you'll see that late in the quarter and then to Q3, as we find the right partners to really showcase the Snow Technology along with some of the other items for the Cooling Collection to consumers and our partner locations.
Operator: And your next question comes from the line of Curtis Nagle with Bank of America.
Curtis Nagle: Good morning, just a quick one on supply chain. Doesn't sound like it, but do you guys anticipate any issues in terms of sourcing with third-party manufacturers as more production starts to, just in theory, inshore due to the antidumping actions that were taken earlier in the year?
Philip Krim: Good morning, Curtis. That's a good question because the insuring has been kind of well telegraphed and well-known I think we have been trying to get ahead of it for some time now. And so that goes to what I spoke about earlier with just regard to increasing capacity within our supply chain. So we've been focused on doing that with domestic producers and we feel like we're in a pretty good spot. And we think most of that ensuring has happened and if you look at imports and the data around that shift is I think largely behind us. If anything, I would expect to kind of more just from the industry, more off shore manufacturing facilities to emerge just as the demand continues to look for more places to do production. But for our business, we feel like we have good capacity within our domestic footprint to produce for the demand that we see coming.
Curtis Nagle: Got it. And then I guess if you could – it was for the quarter, could you break out the contribution between ticket volume growth and a particularly with sort of the higher NSP products coming in? And then I guess just remind us, what the mystery has been for price increases know over the past a couple quarters or so and any more plans going forward?
Philip Krim: Sure. Mike, do you want to talk about the first question. And maybe I can talk about prices.
Mike Monahan: Sure. We did see a bump year-over-year in terms of our average price per unit. A piece of that is somewhat driven by pricing. We tend and Emilie can correct me, we tend to do about one price increase per year, one to two. And so on a year-over-year basis, you're seeing a little from raw pricing, but the majority of it has to do with the product mix within the mattress category. We're seeing consumers – we're seeing a lot of success on more premium products within each channel. That's driving that. To your first question, a lot of – the majority of our growth that we're seeing while it's being complemented by increases in PPU, Price Per Unit, where we don't break it out but it's largely volume driven. We're seeing really good demands and we're moving product, we're selling product to end consumers at a good rate.
Emilie Arel: And on your price increase question, we did take a price increase in Q1. And we are continuing to look at the balance of the year where it makes sense to move prices on mattress and other items in the portfolio. Since we just launched at the end of April, which as Phillips said before is a $500 price premium in the Nova and Wave families, we're seeing how everything that's out over the next couple of months as we look at the beginning of the launch, and then we'll continue to look at prices and see if we want to make any movement in the back half of the year.
Curtis Nagle: Okay. Thanks very much.
Mike Monahan: Thank you.
Operator: Yes. And your next question comes from lineup, Nick Jones with Citi.
Nick Jones: Great. Thanks for taking the questions. I guess just kind of one around your marketing plans through the rest of the year. How are you thinking about deploying marketing dollars? Particularly, if e-commerce starts to revert, I think there's kind of a broader view, as things reopen, broadly, e-commerce will start to revert in a pre-COVID levels to some extent. So how does that come into play in terms of how you're thinking about deploying maybe in the back half? Thanks.
Philip Krim: Yes, Nick. I think the trend that you saw in Q1 is something that will likely continue, which is deploy more dollars on a dollar basis, but continue to drive sales and marketing leverage on a relative basis to net revenue. So we're going to keep trying to drive efficiency in our sales and marketing line. Overall, we obviously are watching demand across different channels. I think – we believe that e-commerce will be higher than kind of pre-COVID levels, and some of this will create kind of new buying behavior. And so we do think e-commerce will still be a great channel for Casper and a strong channel in the industry, albeit not as strong as 2020 was. I think in that regard, we're actually set up well to navigate 2021 because of how we navigated 2020. And so overall, we believe that we can drive strong DTC growth across both e-commerce and our owned and operated stores. And that the industry will see kind of elevated levels within e-commerce for the year, above where we were pre-COVID, but certainly not growing like it did over the last 12 months.
Nick Jones: Great. Thank you.
Philip Krim: Thank you. And your next question comes from the line of Randy Konik with Jefferies.
Randy Konik: Hi, guys. How are you? Sorry, I had to dial-in late. Did you talk about just kind of the progress of improvement that you're seeing in the store side of the business? Or if not, how do you expect that to kind of play out over the balance of the year in terms of traffic levels, conversion, et cetera? Just give us some thoughts on just what you're talking about there.
Philip Krim: Hey Randy good morning. We mentioned earlier just about how we're seeing kind of week-over-week improvements in our store performance. And now in Q1, we saw improvements, but they were more regionalized. So states like Texas and Florida, we started to see improvements more notably in Q1, and now we’re seeing it kind of across the board. And our view is just as consumers get more confident, as vaccines get out there more prevalently, that's going to continue to drive strong retail trends. And we're seeing that in our business with higher foot traffic, higher sales. And it looks to us like kind of week-over-week, it's just getting better and better. And so we're excited about where we're positioned going into Memorial Day weekend. And hopefully, that continues to strengthen throughout the summer.
Randy Konik: And just from a geographic perspective – penetration perspective, do you have a disproportionate number of the stores in the regions that were more kind of close off, if you will? Let's say, New York, for example. Just curious on just where the stores kind of sit geographically, because if they're more in the north door, the closed up areas, if you will, it seems like there'll be more obviously pent-up demand coming on the way in those regions to help disproportionately accelerate the stores business towards the back half of the year. Just want your thoughts there.
Philip Krim: Yes. I think you're exactly right. We do overindex to kind of the Northeast and to California. And so those regions have lagged other parts of the country. And so we expect those to strengthen, just as we've seen the kind of Texas and Florida market strengthen. So you're right that, that will – that has been lagging other parts, but we expect that to continue to pick up as those parts of the country reopen.
Randy Konik: Got it. Got it. And one last thing, if I may. The one thing that you continue, guys, to show in the last few quarters is this accelerated path towards the profitability, showing nice, improved – improvement there, and just a heightened level of discipline around the expense structure and so on and so forth. So just kind of give us some thoughts on that path to profitability. Just what kind of things you've been continuing to change and becoming more efficient and effective in the business and across the different teams in the organization? Thanks.
Philip Krim: Sure. Thanks, Randy. Mike do you want to talk about our focus on that one?
Mike Monahan: Sure. Randy, it's across the P&L. So if you work your way down the P&L, we're focused on gross margin. And we're seeing nice improvements kind of year-over-year around kind of our supply chain, getting more efficient with logistics and product input costs. You're seeing efficiency as we kind of expand our channels and execute against that strategy, where we're getting leverage out of our media spend as we expand our retail partnerships points of distribution and get leverage across the Casper-owned retail stores. And we're being very disciplined around G&A, really trying to hold that. We're obviously still investing in the business, but we're very much focused on how to continue to get leverage as we drive revenue out of that G&A line. And so as we look forward into profitability, really the growth in the retail partnership channel is a key component to that, because the retail partnership channel, we're getting leverage out of all the media spend that we invested behind the brand. And as we continue to expand our partnerships and drive more sales through our existing partners, that doesn't require additional marketing spend or G&A. So you're seeing more of that gross profit contribution drop down to adjusted EBITDA.
Randy Konik: Super helpful, thanks guys.
Philip Krim: Thanks Randy.
Operator: And your next question comes from Lauren Schenk with Morgan Stanley.
Lauren Schenk: Great. Thanks. I guess sort of a bigger picture question, but I understand you don't disclose e-commerce growth separately. But sort of back of the envelope, it looks like it perhaps grew sort of mid-single-digits in the first quarter on top of negative mid-single-digits last year. And I would assume March is sort of an easier compare. So just, I guess, thinking holistically about sort of the last 12 months, the strength that we've seen broadly in e-commerce and the strength that we've seen in, in-home furnishing, I guess what would your diagnosis or hypothesis be as to why you didn't see sort of the same magnitude of uplift in your e-commerce business? Thanks so much.
Philip Krim: Hey Lauren. I actually – I don't think you have the math right on that one. Our e-commerce business grew nicely, and we don’t break it out. But just broadly speaking, our e-commerce business has grown. It grew well above kind of what you just spoke to in Q1. The weight on the DTC channel performance has been our stores. So we ended 2020 with 67 stores. We had 70 stores at the end of Q1 this year. In the retail channel, the owned and operated retail channel for Casper, has been under pressure because of COVID. And so that dragged down our DTC performance pretty notably. Like we've talked about, we see strength there and we see things improving. But Q1 of 2020 was a really strong Casper-owned store quarter. And so that was a strong quarter. It's – on a comp basis, we had a tough Q1 for our own stores. We do think that that's going to improve throughout the course of the year, but that's really what's driving down our DTC performance, not e-com, e-com performance has been strong. And we've continued to kind of tweak our playbook and look at how we're investing and allocating capital within the sales and marketing side of things to drive that e-com performance. But overall, we think that – we made some changes starting really in Q4 last year. We talked about Q2. We messed up on the – Q2 of 2020, we did not spend appropriately. We started to spend up in Q3, but we didn't have supply to fulfill that. And then starting in Q4, we were really able to start to lean into the demand that we're seeing, drive e-commerce growth, that continued in Q1, and we believe will continue for the rest of the year.
Lauren Schenk: Okay. Thank you.
Philip Krim: Thanks a lot.
Operator: And there are no further questions at this time. I'll now turn it back to the team for closing remarks.
Philip Krim: Thank you, operator, and thank you all for the time today and for your continued interest in Casper. Have a great day. Thank you.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.